Operator: Thank you for standing by, and welcome to World Kinect Corporation's Fourth Quarter 2025 Earnings Conference Call. [Operator Instructions] I would now like to hand the call over to Braulio Medrano, Senior Director of FP&A and Investor Relations. Please go ahead.
Braulio Medrano: Good evening, everyone, and welcome to World Kinect's Fourth Quarter 2025 Earnings Conference Call, which will be presented alongside our live slide presentation. Today's presentation is also available via webcast on our Investor Relations website. I'm Braulio Medrano, Senior Director of FP&A and Investor Relations. With me on the call today is Ira Birns, Chief Executive Officer; Mike Tejada, Executive Vice President and Chief Financial Officer; and John Rau, President. And now I'd like to review our safe harbor statement. Certain statements made today including comments about our expectations regarding future plans and performance are forward-looking statements that are subject to a range of uncertainties and risks that could cause actual results to materially differ. Factors that could cause results to materially differ can be found in our most recent Form 10-K and other reports filed with the Securities and Exchange Commission. We assume no obligation to revise or publicly release the results of any revisions to these forward-looking statements in light of new information. This presentation also includes certain non-GAAP financial measures. A reconciliation of these non-GAAP financial measures to their most directly comparable GAAP financial measures is included in our press release and can be found on our website. We will begin with several minutes of prepared remarks, which will then be followed by a question-and-answer period. At this time, I would like to introduce our Chief Executive Officer, Ira Birns.
Ira Birns: Thank you, Braulio, and good afternoon, everyone. As I begin my first earnings call as CEO, I'd like to say how honored I am to step into this role at a defining moment for our company. We entered 2026 with a strong foundation in place and clear opportunities ahead. I'm truly energized and excited by the opportunity to lead the company into its next chapter, one grounded in accountability, aligned leadership and a commitment to consistent execution and long-term value creation. As we previewed last quarter, we welcomed Mike Tejada to the role of Chief Financial Officer, shortly before my appointment to CEO. I am joined today by Mike whose deep expertise in financial management and operational transformation has already proven instrumental as we sharpen our portfolio, enhance efficiency and create additional value for our shareholders. I'm also joined by John Rau, recently appointed President and the commercial leader of our Aviation, Marine and Land segments. John is an experienced leader with a deep understanding of our business. His focus on operational excellence and disciplined commercial execution continues to strengthen our platform and better positions World Kinect to deliver sustainable growth. And over the past several weeks, I've had the opportunity to engage deeply with our leaders and many of our employees across the company. Those conversations have been energizing and have reinforced the shared commitment to simplicity, clarity and increased transparency. Our team understands the changes we're making. They believe in where we're headed, and they are excited about contributing to the next chapter of World Kinect. That level of alignment and engagement gives me tremendous confidence in our ability to execute and deliver on our commitments. Beyond our internal audience, I've also met with external stakeholders to pressure test our thinking and better understand where we can optimize our business and drive additional value for our shareholders. While these discussions are ongoing, they have already reinforced that a unified performance mindset, a disciplined approach to capital allocation and most importantly, a sharpened focus on portfolio management are critical to driving strong results. As a result, we've been deliberately reshaping World Kinect, simplifying our business model, concentrating our portfolio on businesses that deliver more attractive and predictable returns, allocating capital with a clear ROI mindset and strengthening our financial discipline to create a clearer path to sustainable success in a dynamic and evolving industry. These actions are building a more resilient, future-ready company that serves customers with excellence and is positioned to deliver sustainable value for our shareholders. With a renewed focus on our core business and meaningful momentum underway, we are confident that 2026 will mark the start of a new era for World Kinect. With this clarity, the fourth quarter marked several pivotal milestones in our transformation and portfolio repositioning. In Aviation, we successfully closed the acquisition of Universal Weather and Aviation's Trip Support Services business, expanding our capabilities in flight support and strengthening our role in global aviation services. This business fits squarely within our core strengths and complements our global fuel distribution network. Integration is underway following our proven M&A playbook in aviation focused on operational excellence and disciplined execution. I just returned from Europe where I witnessed firsthand the enthusiasm for the opportunities we see to expand our on-airport footprint, which we believe will unlock further growth potential in this region. In land, we have taken action to meaningfully reshape the portfolio and narrow our focus to better align with our long-term return objectives. I will share related details with you in a moment. Meanwhile, as we look ahead, our land business will focus on our North American operations anchored around higher margin and more ratable cardlock and retail activities as well as natural gas. When combined, these businesses create the foundation on which we will continue to build and enable us to successfully drive longer-term land-based growth. To put this in context, for many years, our role in the C-store fuel distribution space has been focused on supplying fuel to site operators under long-term agreements, many of which are locked in for as long as 15 years, driving solid ratable profitability. While opportunities for growth here remain, we now see meaningful room for additional growth through a new pathway in which we own or lease the site and manage the fuel operations ourselves, while partnering with an independent operator who runs the convenience store. This approach increases our margin, reduces upfront capital incentives and credit risk and opens a much larger growth opportunity in the C-store fuel distribution space. In turn, we expect to drive synergies over time as we leverage this new model that more closely aligns our cardlock and retail business activities. Ultimately, we expect the targeted changes we are making and the broader strategic shift across our land segment to enhance returns and significantly improve profitability in 2026, while also providing increased transparency regarding the business' long-term growth potential. Summarizing the actions we have taken to reshape the land portfolio. In Europe, we made the decision to exit our power, energy management and related sustainability service businesses, steps that now shift our focus almost entirely to North America and our core businesses that have proven to deliver more consistent profitability and returns. In North America, as part of our ongoing efforts to streamline our portfolio and further sharpen our strategic focus, we have also recently entered into an agreement to sell our tank wagon delivery and lubricants businesses to Diesel Direct, a national mobile fueling business based in Stoughton, Massachusetts. We expect to close this transaction during the second quarter of '26. In terms of the transportation model for our remaining core land business in the U.S., we have also made the decision to fully outsource our transportation requirements to drive additional operating efficiencies. We expect this transition to also reduce capital requirements going forward, ultimately allowing us to redeploy resources towards higher-value opportunities. It's also very important to recognize that as a result of the strategic changes we've made, we plan to redeploy associated capital into core areas of our business that deliver stronger and more consistent returns. Mike will share additional details on the proceeds from the exits as well as related onetime charges. Overall, we are making meaningful progress in optimizing our portfolio. The actions we've taken have simplified our business, reduced complexity and positioned our land segment for more consistent and predictable performance. Our strategy is now very clear, build a more focused and efficient company that delivers stronger longer-term returns as we continue strengthening our core businesses through 2026 and beyond. Let me now quickly turn to a summary of our fourth quarter results. Overall, our performance fell short of where we expected it to be for a couple of reasons. While aviation results were up year-over-year, benefiting from the Universal acquisition, margins in our core fuels business were impacted by a somewhat more competitive market environment during the quarter. In addition, weaker land performance was driven principally by underperformance in the lower return lines of business we are in the process of exiting as part of our broader portfolio repositioning. The good news is that our core business in land, cardlock, retail and natural gas performed generally as expected during the fourth quarter. Mike will provide additional details during his prepared remarks. While our fourth quarter and full year '25 results fell a bit short of expectations, the strategic actions we are taking, particularly within our land business, represent a meaningful operational transformation and an inflection point for our business. It is important to note that a portfolio transformation like this doesn't happen overnight. While much of our attention in 2025 is focused on our strategic repositioning, the majority of the work is now largely behind us. Our 2026 outlook reflects our strong conviction that the structural changes in place reduce competing priorities, thereby simplifying the business, enabling greater focus on growth in our core businesses and positioning us for more consistent performance as we move through the year. With that, I'll now pass the call over to Mike for his first inaugural review of our financial results. Mike?
Jose-Miguel Tejada: Thank you, Ira, and good afternoon, everyone. Before I begin, I want to say how grateful I am to be joining you today for my first earnings call as CFO during a period of meaningful transition for the company. As many of you know, I've worked close with Ira and our leadership team for many years. And stepping into this role, my focus is clear: provide greater transparency around our underlying performance and a clear line of sight into long-term value creation. Before reviewing our results, I want to briefly address our use of non-GAAP measures. As Ira discussed, 2025 was a year of meaningful transition for World Kinect. Over the course of the year, we took deliberate actions to reshape our portfolio, exiting noncore and underperforming activities and refocusing the company on businesses that deliver improved operating leverage, stronger cash flow and returns on capital. As a result, our GAAP results this quarter reflect additional actions we have taken to further improve the quality and durability of our future earnings. Reconciliations are available on our Investor Relations website and in today's webcast materials. Total non-GAAP adjustments in the fourth quarter were $325 million or $296 million after tax. The most significant of which was $247 million of noncash intangible and other asset impairments, primarily within our land segment. These impairments were driven in large part by our decision to exit additional lines of businesses -- a business that did not meet our return thresholds or align with our long-term strategy. We also recorded an additional $77 million of restructuring and exit-related charges in the quarter, also largely tied to these land exits as well as broader transformation initiatives we have previously discussed. While the majority of the financial impact from our portfolio repositioning is now behind us, we anticipate some residual nonrecurring exit-related costs into the first half of 2026 as the remaining transactions close and activities wind down. Importantly, these actions substantially complete the land portfolio repositioning we began in late 2024 and position us in 2026 with a stronger earnings base and improved visibility. With that context, let's turn to our operating results, which exclude these non-GAAP adjustments. On a consolidated basis, fourth quarter volume was 4.2 billion gallons, down 5% year-over-year. For the full year, volume totaled 16.9 billion gallons, down approximately 4%. Fourth quarter gross profit was $235 million, down 9% year-over-year and slightly below guidance, driven primarily by lower profit contribution in our land business. For the full year, consolidated gross profit was $948 million, down 8% from 2024. This reflects year-over-year declines in marine and land gross profits of 21% and 22%, respectively, partially offset by strong growth in aviation. I'll now walk through each segment to provide more details on the quarter and the full year. Starting with Aviation. In the fourth quarter, aviation volumes were 1.8 billion gallons, down 5% year-over-year as a result of more disciplined focus on maintaining appropriate return levels. Full year aviation volume was 7.1 billion gallons, modestly lower than the prior year. Despite lower volumes, fourth quarter aviation gross profit increased approximately 8% year-over-year to $130 million, driven principally by incremental profit contribution from the Universal Trip Support acquisition completed in November. Overall, however, results in our core fuel business were slightly weaker than anticipated, driven by increased competitive pressure impacting our margin versus what we have been experiencing for much of the year, which have been running above our historical average. For the full year, aviation gross profit totaled $526 million, up 8% year-over-year. As we look ahead to 2026, we expect first quarter aviation gross profit to be up year-over-year, driven by the benefits of our Trip Support acquisition and continued organic growth internationally, which we expect to more than offset continued competitive pressure. Aviation remains the cornerstone of our portfolio, supported by a strong global network, expanding service capabilities and attractive long-term demand fundamentals. Shifting to Land. In the fourth quarter, land volumes declined 9% year-over-year. And for the full year, land volumes totaled 5.6 billion gallons, down 8%. These declines were primarily driven by our exit activities as we deliberately reduced exposure and have been exiting underperforming and noncore businesses. Fourth quarter land gross profit was $71 million, down 32% year-over-year and slightly below our expectations, driven principally by unfavorable market conditions impacting certain noncore businesses, some near-term impacts of our strategic exit from these activities as well as the impacts from businesses we have already exited, including Brazil, certain operations in North America at the end of 2024 as well as our U.K. land business in the second quarter of 2025. For the full year, land gross profit was $298 million, down 22%, largely driven by unfavorable market conditions in our European power business and parts of our North America liquid fuels business, noncore activities we are in the process of exiting as well as the impact of businesses we had exited at the end of 2024 and earlier in 2025. Additionally, as Ira mentioned, as part of our exit activities, we recently entered into an agreement to sell our North American tank wagon delivery and lubricants businesses. While we recorded associated noncash impairment charges of $85 million in the fourth quarter, we expect the transaction upon closing to return approximately $100 million of capital to the business through sales proceeds and the recovery of working capital. While near-term results were below our target levels, the actions we have taken meaningfully improved the quality of expected returns of the land business. Going forward, land will be focused primarily in North America across 3 core areas: cardlock, retail and natural gas. This business model currently represents 5 billion gallon equivalents with $2 billion coming from natural gas, which is a high volume but lower unit margin business. As I mentioned before, we expect some residual nonrecurring exit-related activity to continue into the first half of 2026 as we focus on completing the remaining exits and supporting our customers through this transition. As we look ahead to 2026, while we expect full year volumes and gross profit in our refocused land business to be meaningfully lower year-over-year, we expect adjusted operating income to nearly double as a result of exiting these underperforming land businesses, resulting in a materially improved and simplified cost structure. It's important to note that our operating margin in the land business should increase substantially and get much closer to our target level of 30%. In Marine, volumes were approximately 4.1 million metric tons in the fourth quarter, flat year-over-year, while full year volumes declined 5%. Fourth quarter marine gross profit increased 2% year-over-year to $35 million, driven by strong performance in certain physical locations. However, full year gross profit declined 21%, reflecting the continued low fuel price and volatility environment. Despite these conditions, Marine continues to generate attractive returns while requiring minimal capital investment. The business remains well positioned to benefit when the market volatility improves, providing meaningful upside optionality over time. For Marine, we expect first quarter gross profit to be generally in line with prior year. On a consolidated basis, as we look toward the first quarter and with the backdrop of the related segment gross profit comments shared a moment ago, we expect consolidated gross profit to be down versus prior year and sequentially, driven principally by the exit activity in land. Moving on to operating expenses. Adjusted operating expenses in the fourth quarter were $186 million, down 6% year-over-year, primarily due to lower incentive compensation as well as the exit of certain businesses in our Land segment, which we have previously discussed. For the full year, adjusted operating expenses declined approximately 7% to $718 million. This reflects not only performance-related compensation impacts, but also our continued focus on operating efficiency. As we move forward, we expect further benefits from the strategic repositioning of the Land segment alongside continued investment in our platforms to ensure we enhance the customer experience while creating greater efficiencies. Additionally, we are also focused on improving our operating leverage through the use of advanced analytics and AI-enabled tools. For the first quarter of 2026, we expect operating expenses to be down versus prior year and sequentially when adjusted for residual land exit-related activity, driven primarily by the improved cost base in land as well as the additional focused efforts we've been making to restructure the organization. These benefits are partially offset by the incremental operating expenses associated with our Universal Trip Support acquisition. Net interest expense in the fourth quarter was $26 million, in line with expectations. During the quarter, we amended and extended our $2 billion senior unsecured credit facility to November 2030 with a 1-year extension option. The amended facility improves pricing and flexibility and reinforces our strong liquidity position as we continue to execute on our strategy. Our adjusted effective tax rate was 29% for the quarter, resulting in a full year adjusted effective tax rate of 20%, in line with the guidance we provided. Before turning to cash flow, I want to spend a moment on an important change to how we will provide financial guidance this year. For 2026, while we will continue to share insight into anticipated quarterly segment performance, we are transitioning to provide full year adjusted EPS guidance. We believe this approach better reflects how we manage the business, accounts for seasonality and market volatility and provides investors with a clearer and more consistent framework for evaluating our performance. With the backdrop of everything we have covered and driven by the market conditions and business changes referenced in the fourth quarter, we expect the first quarter EPS to be down versus prior year and relatively flat sequentially. For the full year, however, we expect 2026 adjusted EPS to be in the range of $2.20 to $2.40, representing solid year-over-year growth and reflecting the benefits of our portfolio actions and disciplined execution. Looking next at our cash flow and capital allocation. In the fourth quarter, we generated $34 million of operating cash flow and $13 million of free cash flow. For the full year, operating cash flow totaled $293 million, slightly ahead of our expectations, while free cash flow came in at $227 million, exceeding our targets for the year. Combined with 2024, we have generated $419 million of free cash flow, also ahead of our long-term objectives. Strong cash generation enabled us to continue to return capital to our shareholders. In the fourth quarter, we repurchased $40 million of shares, bringing full year repurchases to $85 million. Total capital return through dividends and buybacks in 2025 was $126 million. Additionally, our Board recently approved an incremental $150 million share repurchase authorization. And subsequent to year-end, we completed an additional $75 million in share repurchases, underscoring our confidence in the business and our disciplined approach to capital allocation. As we look ahead, I'll leave you with a few key points. Aviation remains the foundation of our portfolio, delivering strong results in 2025 while expanding our international presence and global service offerings. While we expect some increased competitive pressure versus 2025, the core business is strong and remains positioned for sustainable growth. Land reached a turning point in 2025. We simplified the portfolio, reset the earnings base and improved long-term return potential. We expect continued improvement as we move through 2026 with stronger operating margins and a significant increase in operating income. Marine continues to demonstrate resilience, generating attractive baseline returns and offering significant upside when market conditions improve. Financial discipline remains central to how we operate from cost management to capital allocation. Most importantly, however, we enter 2026 with a simpler and more focused World Kinect with clear priorities and improved visibility into earnings growth. Looking ahead, our focus is on disciplined execution, strong cash flow generation and continued progress toward our long-term margin and return objectives. Additionally, as we operate a simpler and more focused portfolio, we will strive to increase the transparency of our business model and our expectations of the business at the segment as well as at the consolidated level. With that, I'll turn the call to Latif for the Q&A session. Thank you.
Operator: [Operator Instructions] Our first question comes from the line of Ken Hoexter of Bank of America.
Ken Hoexter: Ira, Mike and John, welcome to everybody to new positions and great to hear the move to simplify the business and provide the clarity. So Ira, maybe just start off with -- you've made an acquisition here on Universal Trip. Maybe talk about scale of revenues, op income volumes for that. And then also on the sale of the tank wagon business, maybe talk to us about the impact we should expect on volumes, revenues or what have you as we move into the second half? Just to kick that off.
Ira Birns: Good to hear your voice, Ken. Thanks for the questions, and thanks for being here. So starting on Universal, remember, that's a service business. So there's no volume and the approximate gross profit number for that business, which I think we shared at the time we closed the deal is about $70 million. So we had a couple -- remember, we had a couple of months under our wings in 2025 because we closed at the beginning of November. So we'll see -- so the year-over-year won't necessarily be the full $70 million, but the actual impact on 2026 will be somewhere around $70 million. In terms of the exits, I'll let Mike give you a high level on that.
Jose-Miguel Tejada: Yes. I mean we're shedding about 1 billion gallons worth of volume between all our exits. Related to the Diesel Direct transaction, that we're receiving about $100 million between cash proceeds and return of working capital. So we should be in a pretty good position. We did take some noncash impairment-related charges in the fourth quarter. but much better positioned for the go forward. In terms of profit contribution, everything, I think these exits in totality are positioning us much better going forward, and we will obviously kind of exceed expectations as we go forward. Our expectations are to exceed that as we move forward.
Ira Birns: Yes. So Ken, just to follow up. So the exits in totality, right, power, energy management and sustainability services in Europe and then the piece that Mike just talked about, unfortunately, they weren't really delivering much of anything in terms of operating profit, they were tying up capital. They involve more capital investment if we really wanted to have a chance to grow those businesses in a meaningful way. And we were just dedicating a lot of attention to those areas, which I would generally define as noncore. So it made a lot of sense to make the move. As Mike mentioned, it's got a bigger impact on volume than it does on profitability. It will bring back capital, increase our returns and most importantly, allow us to focus on the parts of that business that we've talked to you the most about over the years, right, retail and then more recently, cardlock after the Flyers acquisition. That -- those 2 pieces of the pie will become the cornerstone of that business, and that's where we think we have some real growth opportunities. We're already delivering solid margins and returns. And as I mentioned in my prepared remarks, there are some new fangled opportunities in that space to enable us to pursue growth that we really hadn't thought about several years ago. It will be easier for us to explain that business to you. I know if you go back a few years, there were 15 different pieces of the pie. And now it will principally be 3. There's a couple of smaller inconsequential pieces. But almost the entire business, once we're out of these activities that we're exiting will be cardlock, retail and natural gas.
Ken Hoexter: So Mike, in your presentation, you talked about changing to just annual guidance, staying away from quarterly. But before when you had the European business, there was always the big move of European land, right, the U.K. land, right? There was seasonality in first quarter and fourth quarter. How should we think about it now as you exit these businesses? Is it going to be more ratable, more balanced? Is it something we won't see through 1Q, 2Q because of the pending sales and we'll see it in the back half? Maybe just as an initial thought, as you just give that annual guidance, how we should lay that out?
Jose-Miguel Tejada: Yes, Ken. For land, I think the seasonality story kind of falls away a little bit with the U.K. land sale that we had. And a lot of these exits and activity we're doing as well kind of further -- while it wasn't as big of an impact, it kind of further kind of decreased that ratability. Now it will take a little bit of time to kind of get into the go-forward run rate, I would say, in land. But overall, the seasonality picture is much improved in land. I think the main seasonality story for the company now is really related to aviation, and that's with demand in flights. And yes, that should cover for land.
Ira Birns: Yes. I'll add to what Mike said, Ken. So one of the things you were alluding to reading your mind is we always -- well, for many years, we talked about heating oil in the U.K. And if it wasn't cold, we'd have swing. If it was, that would be a seasonal pickup for land. That's gone. We do have natural gas, which does have some seasonality associated with it. Obviously, you're selling more natural gas in the winter months than the summer months. It's not necessarily as pronounced as the heating oil story was. And then aviation always has its seasonally strongest quarters in Q2 and Q3. So we still have meaningful enough seasonality where we start with our weakest quarter of the year. We build up in Q2. Q3 has generally been our strongest quarter in aviation, which is obviously the biggest piece of the pie and then we tail off a bit in Q4. That should still be the case, even though we've eliminated some of the pieces of the pie that had some levels of seasonality as well.
Ken Hoexter: Great. And sorry, I do have another 1 or 2, if I can. Can you expand on the impact of -- you talked about owning and managing the fuel yourself, but partnering with independent operators who run the convenience stores. Can you maybe detail that? And then the competitive pressure in aviation sounds like you expect more. Is this a new normal or a change in business that you're seeing that increase?
Ira Birns: So I'll start with the first question. That model is growing in popularity in the C-store space in the U.S., call it a hybrid model. We're still focused on growing the model that we've talked about for many years. But there are scenarios where we find opportunities to grow the business that weren't as simple with the simple distribution model that we had in the past. If we're willing to take an ownership or -- we don't have to own the site, we can lease the site, position ourselves. Interestingly enough, it's actually a somewhat better cash flow model. Because when we enter into those long-term arrangements, we generally have incentive type payments that go out upfront that we earn back over the life of the 7-, 10-, 15-year deal, which no longer would be the case in this newer model. And we own the fuel. Therefore, we're reaping a higher margin on the fuel. It's actually a good cash flow model. So it won't necessarily increase our working capital position because we've got extremely solid credit terms in that part of our business. So it just opens up doors for us to find more growth in that part of the market that we hadn't really focused on historically. We're looking at it very carefully. We're understanding that we own the asset. We have to make sure that the economics make sense and we generate the returns that we want. But we're finding opportunity. We've actually launched several locations already under that model and so far, so good. In terms of aviation, I wouldn't use the words new normal, but it may be the temporarily new normal, right? I think we're still seeing -- or I know we're still seeing some of that as we speak, quarter-to-date, we'll take a quarter at a time. The margins are still strong. And then there's also growing opportunities to find opportunities to -- I said that word twice, sorry -- to expand to new locations that could offset some of the margin pressure from that competition word, if you will. So the team is out there looking for opportunities to add airport locations to the portfolio, which will drive additional volume. So I think we still have a lot of opportunities there, but I can't tell you whether what we saw in the fourth quarter is exactly what's going to happen in Q1 and Q2. But at the moment, we're seeing a bit of the same, and we'll see what happens as the year progresses. Typically, in aviation, a big chunk of the -- as you may remember, of the contracts roll in about the middle of the year. So as we're going through those -- what's akin to an RFP process for the contracts that go from mid-'26 into '27, we'll know a little bit more about where we come out from a margin standpoint as we finalize those negotiations. So plenty of opportunity, but we just wanted to conservatively provide some caution on the fact that, that competitive pressure is out there.
Ken Hoexter: All right. And if you'll indulge me, I'll toss one more and just to wrap it up. But the marine business, I think you talked about waiting for a rebound. Is that incumbent upon shipping volumes? Is it trade lanes? Given the dynamic and changes in the container market right now, what are you looking for on a rebound there?
Ira Birns: Thanks for all the questions, Ken. Appreciate it. Look, in Marine, it's the same story. Certainly, there are macro factors that could always help. The biggest macro factor that has historically helped if you look at our P&L over the years in the Marine business is price and volatility. And we remain in a relatively low price environment, a low -- relatively low volatility environment. So the business, I would describe that business as stable that always has opportunity to pounce on when things move in the right direction. It could be trade lanes could help out a bit. There's all sorts of things that could drive opportunities there. But the most significant have always been price and volatility, and we're still, again, in the lower end of historical price range. And therefore, we don't expect anything materially to change in '26. If it does, that would be upside to our guidance.
Operator: I would now like to turn the conference back to Ira Birns for closing remarks. Sir?
Ira Birns: Well, thanks to Ken for all the questions. And thanks to all of you -- the rest of you for joining us today. I know we've been on a bit of a bumpy road these past few years, but I'm very excited about and have great confidence in the current trajectory of our company, supported by the strategic changes we've made across our organization. As we've discussed today, we now have a simpler, more focused business model that allows us to concentrate on what we do best, leveraging our global best-in-class platform to reliably deliver fuel and related services across the transportation and broader energy distribution markets. This industry continues to evolve and so do the needs of our customers. World Kinect has always been at the forefront of helping customers navigate risk, volatility and operational complexity with consistency and insight. With a streamlined portfolio and a renewed focus on disciplined execution and with a much tighter portfolio of business activities, we are better positioned than ever to meet those demands. Before we close, I want to thank all of our employees around the world for their commitment and support, particularly during a year of significant change. Their focus, professionalism and dedication are foundational to our success. We look forward to updating you on our journey as this critical year progresses. Thanks again for joining us, and we'll see you in April. Have a great day.
Operator: This concludes today's conference call. Thank you for participating, and you may now disconnect.